Operator: And good day, and thank you for standing by. Welcome to Silicon Motion Technology Corporation's Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. This conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, without limitation, statements regarding trends in the semiconductor industry, and all future results of operations, financial condition, and business prospects. Other such statements are based on our own information and information from other sources we believe to be reliable. You should not place undue reliance on them. These statements involve risks and uncertainties, and actual market trends and results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons. Potential risks and uncertainties include, but are not limited to, continued competitive pressure in the semiconductor industry, unpredictable changes in technology and consumer demand for multimedia consumer electronics, the state of any change in our relationship with our major customers, and changes in political, economic, legal, and social conditions in Taiwan. For additional discussion of these risks and uncertainties and other factors, please see the documents we file from time to time with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements, which apply only as of the date of this conference call. Please be advised that today's conference is being recorded. It is now my pleasure to hand you over to Mr. Tom Sepenzis, Senior Director of IR and Strategy. Please go ahead, sir.
Tom Sepenzis: Thank you, operator. Good morning, everyone, and welcome to Silicon Motion Technology Corporation's fourth quarter 2024 financial results conference call and webcast. Joining me today is Wallace Kou, our President and CEO, and Jason Tsai, our CFO. Wallace will first provide a review of our key business developments, and then Jason will discuss our fourth quarter results and outlook. Following our prepared remarks, we will conclude with a Q&A session. Before we get started, I would like to remind you of our Safe Harbor policy, which was read at the start of this call. For a comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the U.S. Securities and Exchange Commission. For more details on our financial results, please refer to our press release and Form 6-Ks filed after the close of market yesterday. This webcast will be available for replay in the Investor Relations section of our website for a limited time. To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have therefore chosen to provide this information to enable you to perform comparisons of our operating results in a manner consistent with how we analyze our own operating results. The reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. I ask that you review it in conjunction with this call. With that, I will turn the call over to Wallace.
Wallace Kou: Everyone, thank you for joining us today. 2024 was an exceptional year for Silicon Motion Technology Corporation across multiple fronts. We delivered over 25% revenue growth year over year, significantly outperforming the end market we serve. Gross margin improved from 43% to over 46%, and we delivered an operating margin of 15.3%, up from 11.9% in 2023, while investing heavily in next-generation solutions to expand our opportunities for long-term share gains and sustainable revenue growth. 2024 was not without challenges, however, as the consumer market saw increasing pressure in the second half of the year. Weak end-user demand that began in the third quarter of 2024 persisted through the fourth quarter, creating an unseasonably weak holiday season for PCs and smartphones. Despite this, we remained focused on our execution and taped out a number of advanced controller replacements, leading to significant new project wins with customers. We successfully entered the enterprise SSD market, adding six customers and beginning initial shipment of our first new Mount Titan product in the second half of 2024. Additionally, we further grew our automotive business to over 5% of sales and delivered a strong backlog as we entered 2025. While the smartphone and PC markets will always be important, our strategy to diversify and significantly grow our enterprise and automotive business is off to a strong start with many new projects, customers, and products expected to scale over the next few years. Flashmakers are outsourcing more and becoming increasingly reliant on Silicon Motion Technology Corporation as they are being forced to rationalize spending given the increasing development cost for memory technology to support DRAM, HBM, and enterprise storage needs. The cost of development of a NAND controller has rapidly increased with the necessary migration to advanced composite geometry solutions like a six-nanometer of the d. And UFS. Flashmaker decisions on controller development have become increasingly aligned with Silicon Motion Technology Corporation as their preferred partner. We are working with every NAND maker and winning multiple projects that range from eMMC and UFS controllers to SSD controllers for SATA, PCIe 4, and 5 solutions. Our broad portfolio enables them to scale in multiple markets faster and more cost-effectively. We have already built up a strong pipeline of new wins and expect more this year to further our share gains in 2026 and beyond. Now let me give you an update on what we are seeing in the NAND industry. With consumer demand atypically weak in the second half of last year, we are seeing consumer-grade NAND pricing continue to decline. While NAND makers are starting to limit supply and scale back production, given the ongoing weakness in the consumer markets and the global economy uncertainty surrounding tariffs, we do not expect NAND prices to recover until the second half of this year when demand for both smartphones and PCs is expected to rebound. With production cuts underway, most manufacturers are focusing on limiting the supply of consumer-grade NAND while still growing the supply of high-end enterprise-grade NAND where demand for enterprise and data center SSDs remains healthy. For Silicon Motion Technology Corporation, this means that we must focus our resources on NAND makers, strategic partners, and customers who have access to NAND. We must align our product cycles with our customer roadmaps and their steady progression toward each new generation of NAND. This is critical to our long-term success, and we are investing to ensure that we remain the leading merchant controller vendors across all flashmakers and end markets and applications. As NAND continues to evolve and the adoption of low-cost per VNAND drives higher densities, QLC is becoming a bigger growth driver for NAND makers as they enable NAND makers to increase density without purchasing new manufacturing equipment and enable device makers to offer higher density cost-effectively. We have more experience in managing QLC than any other controller makers, whether that's a merchant or captive. As the consumer market begins to rebound mid-year, and with the ongoing strength in the enterprise and AI server markets, we expect QLC will become an increasing part of the conversation in 2025 and beyond. Silicon Motion Technology Corporation is best positioned to capitalize on the growth of this new technology. Let me now discuss each of our major product segments, beginning with our client SSD controllers. In 2024, our SSD controller business grew approximately 20% compared to 2023, and our client SSD controller market share increased to over 30% as we continue to grow our share with flashmakers and win additional sockets. Gartner expects the PC market to grow by nearly 5% this year, with the second half of the year much stronger than the first, driven by the sunsetting of Windows 10, the approaching corporate PC refresh cycle, and bolstered by the increasing demand for AI PCs. We are successfully gaining market share, and with our new project wins and backlog for high-performance TLC and high-reliability TLC controllers with flashmakers and module makers, we introduced our high-end 10-nanometer eight-channel PCIe 5 SSD controller last year and have secured a dominant position in the market, winning design wins with four NAND makers as well as virtually every module maker. This controller delivers fast in-cloud performance and substantially lower power consumption than any other solution in the market. We are gaining share in the high-end PC market with this eight-channel controller, and with the wins we have amassed already, we believe we are on track to capture at least half of the market over the next couple of years, driving additional share gain opportunities for us. We also received back the initial sample from our PayPal last year of our mainstream single-meter four-channel PCIe 5 controller and have made exceptional progress in securing additional wins for this product with flashmakers and module makers alike. We anticipate this solution to be introduced late this year and begin ramping in 2026 as PCIe 5 adoption enters the mainstream PC market. The complexity of PCIe 5 controllers has increased significantly, not just in terms of process geometry but also in engineering and firmware resources. They are requiring more complex field engineer support at our customers and the BluePTOEM. We are developing closer collaboration with our customers to deliver unmatched support and reliability to ensure long-term success. In addition, our existing portfolio of PCIe 4 and SATA controllers ensures that we have the right combination of solutions to serve the needs of the high-end to mainstream to cost-sensitive markets. Beyond PC SSDs, our solutions for the growing portable SSD market are also taking a dominant position. We have wins and are shipping with several NAND makers as well as virtually every module maker in the market. Portable SSDs are becoming increasingly popular for data backup, and our portfolio of controllers enables both high-speed and high-density solutions that are cost-effective for our customers. With our broad range of products, customers, and wins, we are well-positioned for growth later this year as these wins scale and the overall market demand recovers. Now turning to our eMMC and UFS business. Smartphone demand, like the PC market, remained weak as we entered 2025. However, despite this, we grew our eMMC and UFS controller business by approximately 70% in 2024 as we rebounded from a very weak 2023 and scaled with our flashmaker customers, expanded share with module makers, and engaged with our first device smartphone OEM for QLC UFS. We expect our customer ramp to scale in the second half of this year in line with Gartner's current annual smartphone forecast of approximately 5%, with a strong emphasis on second-half growth after a weaker start to this year. Our team has been steadily developing new solutions and winning additional projects. The market is shifting away from the integrated eMCP and UMCV solutions in smartphones and moving toward discrete mobile DRAM. This is creating a significant opportunity for us as margin makers are taking greater share of the eMMC and UFS market, which is improving our position given there is significantly less competition in discrete controllers. With the lower cost involved in using discrete LPDDR for mobile DRAM, there is greater competition, which in turn leads to flashmakers outsourcing third-party controllers like Silicon Motion Technology Corporation to compete in value line mobile storage solutions such as eMMC and UFS 2.2 and reduce R&D development costs. In addition to our existing UFS 3.1 controller supporting the latest generation NAND, we expanded our portfolio with multiple new product introductions. These include a new eMMC 5.0 for low-end smartphones, smart devices, IoT, and automotive, a new cost-effective UFS 2.2 controller to target the mainstream market, and the new single-meter UFS 4.1 controller that we taped out last year, which is currently sampling and expected to begin the initial ramp in the second half of this year. eMMC remains about half of the 1.8 billion annual unit market for eMMC and UFS today, and 70% of the eMMC market is in non-smartphone applications such as smart TVs, automotive, and IoT. Our smartphone will continue to account for less and less of the eMMC market as UFS adoption increases. For UFS, the vast majority is for smartphones today, but non-smartphone applications are primarily growing at a much faster rate. So while the overall smartphone market may be maturing, we see tremendous opportunity as we expand with our flashmaker and module maker partners into these additional opportunities. Our portfolio allows us to deliver solutions to our customers that address the expanding needs of the market and gain further share. Now turning to our enterprise monetization platform. We made remarkable progress in 2024 and are well-positioned for strong growth in the enterprise storage market for us long-term. When we started 2024, we had targeted winning two tier-one customers. We won those two customers in the first quarter of 2024 and increased our target to four customers for the year. I'm happy to report that we added four additional customers and now expect to ship to six customers later this year. These four new customers have a long history of supporting tier-one and tier-two enterprises and CSPs in the US, Europe, and Asia, further expanding the reach and adoption of our Mount Titan family of enterprise controllers. We began early shipments and generated revenue in the second half of 2024, and we remain confident that with our current mix of customers and our expanding family of Mount Titan solutions, we can achieve our target of 5% to 10% of our total revenue by the 2026-2027 timeframe. Mount Titan represents one of the largest greenfield growth opportunities for Silicon Motion Technology Corporation in the coming years, given the large addressable market for TLC and QLC NAND within the AI server, enterprise, and data center storage markets. Growing interest in our unique Mount Titan platform is driven by our leading experience in QLC and TLC NAND, our dominant position in the merchant controller market, and our ability to deliver a wide range of firmware capabilities to meet the unique needs of different customer verification and use cases. We are expanding our capabilities with the Mount Titan family of solutions in 2025 through the development of additional controllers and a more comprehensive suite of software to attract a broader range of opportunities for our customers. We plan to offer a more complete family of solutions to customers, including controllers for SATA and PCIe flight server boot drives, higher performance and higher density 16-channel and 8-channel PCIe 5 controllers for enterprise storage and servers, and we are already engaged with new customers and developing next-generation PCIe 6 controllers. This, combined with our existing advantages, including our flexible firmware stack options, unique AC architecture, high capacity, leading performance, and performance shaping technology, delivers a compelling enterprise-class portfolio that is unmatched by our competition. With Mount Titan supporting the upcoming 2-terabit mono die QLC NAND, we will be able to deliver high-density, high-performance 128-terabyte SSDs with a best-in-class redundant read of 3.5 million IOPS that will be ideally suited for AI applications. This combination of capacity and performance will deliver faster training in AI applications, save power, and lower the total cost of ownership. Lastly, let me give you an update on the progress we are making in the automotive market. We view the automotive market across all our product categories. We have wins for our SATA, PCIe 4, SSD controllers, our eMMC and UFS controllers, as well as our ferrite embedded solutions across a variety of use cases in vehicles, from traditional cars to new-generation software-defined vehicles. There is a significant increase in processing capability, sensors, cameras, CPUs, and ECUs. With this new capability, the need for more memory is growing rapidly despite a mature overall automotive market. As the capacity increases, the need for more robust capabilities significantly increases, and that's why ASPICE certification is becoming more critical and more of a differentiator. We are proud to be the only supplier with a PCIe 4.0 controller to achieve ASPICE level 3 certification, significantly increasing our lead over the competition. We are already shipping into all major tier-one automotive customers, including Mercedes, Tesla, General Motors, BYD, Xiaomi, Toyota, Honda, and several others, including the leading automotive cloud service in the world. While we have been growing automotive wins for the past several years, it is now beginning to scale meaningfully and reached 5% of our revenue in the third quarter of last year. We are confident it can ramp to approximately 10% of our revenue by 2027, given our current fleet of customers and wins and the expected ramp of new products. In conclusion, as we enter 2025, despite the near-term broader market headwinds, we remain extremely well-positioned for future growth. As we are growing share within our existing markets and expanding into new high-growth markets, including enterprise with Mount Titan, automotive, IoT, and others, we have an incredibly strong portfolio of new products and a strong pipeline that will help drive long-term share gains and improve our product diversification, including our PCIe Gen 5, UFS 4.1, ASPICE-certified automotive-grade PCIe Gen 4, and, of course, Mount Titan. As Mount Titan and our automotive business continue to scale over the next several years, and our broad portfolio of solutions for IoT, industrial, commercial, and smart device applications continue to gain share, I am confident that our strategy to diversify beyond the maturing PC and smartphone markets will be successful and believe we could see 20% of our business in 2027 coming from these new opportunities. Given the strength of existing customer wins and the expected second-half recovery in the PC and smartphone markets, we expect to exit 2025 with an annual revenue run rate of close to $1 billion in the fourth quarter. I look forward to sharing more of our success with these products and new markets throughout this year. Now let me turn the call over to Jason to go over our financial results and outlook.
Jason Tsai: Thank you, Wallace, and good morning, everyone, for joining us today. I'll discuss additional details of our fourth-quarter results and then provide our outlook. Please note that my comments today will focus primarily on our non-GAAP results unless otherwise specifically noted. A reconciliation of our GAAP to non-GAAP data is included with our earnings release issued yesterday. The December quarter sales decreased 10% sequentially to $191.2 million within our guidance range despite weaker end-user demand for PCs and smartphones. Gross margins increased for the seventh consecutive quarter to 47% as we are benefiting from improved product mix as we continue our shift towards customers to newer solutions. Operating expenses declined by over 10% sequentially to $58.3 million in the December quarter due to the timing of tape-out costs that elevated our September quarter R&D expenses. Operating margin improved sequentially from 16.1% to 16.5% in the December quarter at the high end of the guided range. Earnings per share was $0.91, down slightly from $0.92 in the third quarter. Total stock-based compensation, which we exclude from non-GAAP results, was $9.7 million in 4Q24. We had $334.3 million in cash, cash equivalents, and restricted cash at the end of the fourth quarter compared to $368.6 million at the end of the third quarter. Cash declined in the quarter primarily due to changes in working capital driven by higher accounts receivable that typically trend higher in the fourth quarter and lower accounts payable due to the timing of payments in the quarter. We see these as short-term impacts to our cash balance. Inventories decreased again to $201.2 million at the end of the fourth quarter from $214.6 million at the end of the third quarter as we continue to work down our inventory levels. While our end markets grew in the low single-digit range last year, we increased revenue by 26%. We were able to significantly improve profitability, driving gross margins 300 basis points higher for the year, exiting the year at 47%. Operating margins increased by more than 300 basis points as well despite our significant investments in two new six-nanometer controllers, increased R&D headcount, and continued development for our Mount Titan business. As we enter 2025, the ongoing consumer weakness remains compounded by global economic uncertainty driven by potential tariffs and other challenges, which are limiting near-term demand, growth, and visibility. Despite this, our teams have been steadily developing new solutions, winning new customers, and expanding our end market reach. Additionally, our teams have been extremely effective in delivering new products, driving the expansion of our opportunities in new and emerging markets within the enterprise, automotive, industrial, and commercial markets. We are optimistic that despite the near-term environment, through the combination of our strong customer pipeline, new product introductions, and expected second-half recovery in the consumer markets, we are well-positioned for a strong second half of the year. Let me discuss our first-quarter outlook. Revenues are expected to decline 12.5% to 17.5%, in line with the near-term expectations for the PC and smartphone end markets. Gross margin should continue to expand as we continue to transition customers to newer products and expect gross margins to be in the range of 47% to 47.5% in the March quarter. Operating margin is expected to be in the range of 7.7% to 9.7% given the seasonal revenue impact, but we expect this will rebound quickly throughout the year. Our effective tax rate is expected to be 16%. Stock-based compensation and dispute-related expenses are expected to be in the range of $7.5 million to $8.5 million. Moving forward, to remain consistent with our semiconductor peers, we will no longer release preliminary results at the end of each quarter. We will only preannounce results when they are expected to differ significantly from our outlook. We will, however, continue to provide a qualitative view of our full year but will not be providing specific guidance. To that end, while the PC and smartphone end markets are expected to grow in the low to mid-single digits this year, demand is expected to be significantly second-half weighted with the first-half expectations more muted than normal. We believe that our business in 2025 will reflect a broader industry second half of the year. This should allow revenue to grow in the mid-single-digit range for 2025 as demand rebounds and our new products begin to scale. As Wallace mentioned, we believe our revenue for the fourth quarter this year will approach close to the $1 billion annual run rate. As we saw through 2024, we expect to continue to steadily improve our gross margins throughout this year as new projects and new products scale. Gross margins have historically been in the 48% to 50% range, and we are confident that we will exit the year towards the higher end of that range. For operating expenses, we expect to continue to invest in advanced geometry products that will enable us to maintain and grow our share longer-term and expand into new markets to diversify our business. We expect that with these investments in technology, R&D engineers, and resources, our operating expenses should grow in line with our revenue. We expect the effective tax rate for 2025 to be approximately 16%. Full-year stock-based compensation and dispute-related expenses should be in the range of $27 million to $29 million. For the full year, we expect $65 million in CapEx, of which $29 million will be routine CapEx and $36 million will be building construction. Finally, I'd like to spend a moment discussing our capital allocation strategy. Our business has always been one that generates a significant amount of cash. Our capital allocation strategy for the excess cash our business generates has always consisted of three prongs: our dividends, share repurchases, and reinvestment for growth both organically and through acquisitions. Our dividend policy has been the cornerstone of our capital return strategy since we initiated our first dividend in 2013. The dividend has gradually increased over the past decade from $0.60 per ADS annually initially to now $2.00 per ADS annually. We anticipate it will continue to be a significant part of our capital return strategy and we'll look for opportunities to further increase the dividend longer-term as our business continues to scale. We have complemented our dividend with share repurchase programs from time to time, and as you saw from our press release yesterday, the Board has authorized a new six-month $50 million share repurchase program. The near-term challenges in the end markets do not reflect our views on our own long-term opportunity, and our Board feels that this is a good time to authorize a new share repurchase program. On the reinvestment front, we have occasionally acquired to expand our markets, and this continues to be something that we look at consistently. The industry is highly focused on enterprise today, and our exposure to the enterprise is through our internally developed Mount Titan families. We are constantly evaluating additions to this segment through inorganic means to expand our breadth and scale in this rapidly growing market. It's too early to discuss potential targets, but we do see ample opportunities to further diversify our business and grow longer-term. All three prongs of our capital allocation strategy will remain important drivers for us to continue to increase our shareholder value, and I look forward to regularly updating you on our progress. I would like to conclude by saying that we are pleased by our backlog and wins for this year. Our investments continue to deliver new opportunities and additional share that will drive long-term revenue growth. We anticipate the current market weakness to be short-lived and anticipate a strong rebound in the second half of the year. This concludes our prepared remarks. We will now open the call to your questions. Operator?
Operator: We will now take our first question from the line of Mehdi Hosseini from SIG. Please ask your question, Mehdi.
Mehdi Hosseini: Thanks for taking my question. A couple of follow-ups. Jason, how should we think about the OpEx, especially in 2025, and then to what extent are you going to increase R&D? And what should we assume for CapEx in 2025? And one follow-up for Wallace. Thanks for all the detail regarding your strategy. But all the NAND manufacturers that have reported over the past couple of months, they've all talked about a secular trend where demand is decelerating, the NAND market is no longer demand elastic. And given that and the enterprise, as you highlighted, would only be 10% of your revenue in 2026, 2027, what are some of the specific strategic changes in the strategy or other markets that you're evaluating? I want to better understand your optionality here, especially as the NAND market matures. Thank you.
Jason Tsai: So to answer the first part of your question, Mehdi, from an OpEx standpoint, we talked about revenue growing for us this year in line with the end markets that we serve. So you're looking at kind of low to mid-single digits there. OpEx should grow roughly in line with that. The majority of our growth in OpEx is going to come on the R&D side. Our sales and marketing and G&A should remain relatively flat. And so the increase in OpEx is really going to be driven by increased development costs, higher headcount on the engineering side, etc. From a total CapEx for the year, we're looking at about $65 million, of which about $29 million is for routine CapEx, which is software, testing equipment, etc., and then $36 million is to finish up our new office here in Jutsu.
Wallace Kou: Okay, Mehdi. Let me answer your question. First of all, I want to say this. I believe the NAND makers scaling back regarding the NAND investment, especially from consumer products, also gives us tremendous new opportunities for growth. Because we basically, in the past six months, have more projects than we can develop for the NAND makers. So this is a great opportunity for us to continue to gain market share for client SSD and mobile controllers. But beyond that, we also want to grow heavily for enterprise and automotive businesses. So automotive, because they take a longer term, and so we won't see the immediate and strong rebound this year. But we are confident it will double from now to 2027. But for enterprise, we have a strategy. I think we're growing high in more R&D for enterprise storage now covering high performance, high density, as well as boot storage, composed in the US and China markets. At the same time, I think we evaluate because we are building the new team for service and mixing node development. And this team is developed for all the high-performance connectivity with the storage together. I cannot give more detail. Certain developments we consider internally, certain we consider doing acquisition, some we could do joint development with third parties. So this is in discussion, and I think when the product matures, we're going to have a press release to our investors.
Jason Tsai: Thank you. Also, one more thing, Mehdi, in terms of Mount Titan and automotive growing to roughly 5% to 10% of our business by 2027. That's not a final target. Right? We do expect that to continue to grow longer-term. That is just the first waypoint for you guys in the relatively medium term.
Mehdi Hosseini: Just quickly, I think you said that the incremental revenue contribution from these new areas would be about 20% of revenue by 2027. Did I hear that correct?
Wallace Kou: That's correct.
Mehdi Hosseini: Thank you.
Operator: Thank you. We will now take our next question from the line of Craig Ellis from B. Riley Securities. Please ask your question.
Craig Ellis: Yeah. Thanks for taking the question. Good evening, team, and congratulations on the way you executed 2024 and how you're starting 2025. Wallace, I wanted to start by going back to some of your comments on Mount Titan in the enterprise SSD area. Great to see customer expansion to six customers. What I'm hoping you can do is share with us some color on what you'd expect in the back half of this year on a couple of parameters. One, customers, maybe not by name, but just characterize who are going to be the leaders and when would early shipments start and when would the latter of the six customers start to ship, and maybe help us understand how you see the volume potential across those customers and how that plays out. Just enrich the view of what's coming with enterprise SSD, please.
Wallace Kou: So we do have tremendous interest and opportunity, and currently, we secure six customers, two tier-one, one in the US and China, the other is really enabling to support tier-one, tier-two customers in both the US and China. Now for tier-one customers, the firmware development really needs to tailor their own development. So they take time. But initial production will be later this year, and it will gradually ramp. Normally, it takes about six months for the ramp to reach a high level. So we expect it will start to ramp late this year, and you're going to see the high volume reach a more meaningful volume from the middle of 2026. The same for the China customers. I think they also have dedicated customers and for the firmware development. For the other four customers, some use our turnkey solution, some use joint development format. So this, we also have very limited resources to support the customer. But importantly for us to expand for the other business, is our turnkey solution needs to be fully mature and ready, then we can use the same solution and one or two dedicated NAND to expand to further business. We see many, many customers, especially from the US, they really demand high-density QLC. For the China side, the majority is TLC, from 32 terabytes to 64 terabytes. But the US all have high density, from 64 to 128 terabytes. So this will need tremendous time, but because we really don't see near-term competition, and we really need to deliver results. We just need time to deliver results. We believe the ramping could be much higher and faster than we plan right now, but we just want to be patient and see the proof of results next year.
Craig Ellis: That's really helpful, and I would certainly appreciate it if it was much higher and much faster. I wanted to move on to another question that was really related to the back half of the year, so it's really helpful to get the color that in the calendar 4Q, the business could be operating at a $1 billion annual revenue run rate. The question is this: from first-half levels as we work through soft PC and smartphone demand, etc., how would you force rank the growth drivers half on half within the business, either client SSD, UFS, Mount Titan, etc.? Help us understand how we get from where we are now to that billion-dollar run rate fall.
Wallace Kou: Yeah. I see. Major growth driver from our business this year. It depends on PCIe 5 eight-channel high-end product line. Currently, we are just in the very small volume, and we will start to ramp from the second quarter. And I believe in Q3, it will be meaningful volume because this includes four NAND makers and almost a half dozen module makers. And this is a higher ASP. I can only tell you some more than ten dollars per ASP. So they were driving well, it must. And our mobile controller is also growing very fast, and because we are engaged with multiple NAND makers as well as module makers, primarily from low-end eMMC UFS 2.2 and moving to 3.1, our high-end UFS 4.1 also will start to ramp in the fourth quarter. So I think we have multiple major programs, and it's just a timing project transition. I hope we are not suffering from the really seasonality, but we do have many, many multiple major project pipelines in our hand. That's why we're confident to have a $1 billion dollar run rate for this year.
Craig Ellis: That's very helpful. Thanks, team.
Operator: Thank you. Our next question comes from the line of Quinn Bolton from Needham and Company. Please ask your question.
Nick Doyle: Hi. This is Nick Doyle on for Quinn. Thanks for taking our questions. How are you thinking about the gross margin target of 48% to 50% through the year? It sounds like this PCIe eight-channel will really be a big driver there. So, you know, is that the main tailwind or maybe any other end market expansions getting to that higher end of the range like you mentioned? Thanks.
Wallace Kou: So PCIe 5, eight-channel, that's new to the market? See, for notebooks, this year, it probably just bought 5%. But the majority also moved to desktop and gaming PC and the PC workstation. And we are confident we can own more than 50% of the high-end market for PCIe Gen 5. And with the momentum, I think next year, PCIe Gen 5 high-end will grow to 10% of the notebook. And so this is where our four-channel for mainstream also will start to ramp up by late this year and early 2026. I see the PCIe Gen 5 in 2026 will have roughly around 20% to 30% market share. And in this, that's just the thing. We see the pipeline transition favors Silicon Motion Technology Corporation because we have a much more design pipeline in our hand, just a transition sometimes it depends on each of a NAND maker customer's NAND allocation. Sometimes they allocate more for enterprise, for data center, sometimes they need it for the consumer for PC OEM. So, but when we have multiple main customers and the module maker, support both channel and the PC OEM, we feel very comfortable to do that. In addition, I think our UFS, even value line UFS controller, and also new UFS 4.1 controller also marked is above our corporate average. That's why this will help our average gross margin toward 48% to 50% by the year-end.
Nick Doyle: Thanks. Which of the NAND providers is the biggest competitor in the auto market? And what's your geographic exposure? It was definitely helpful to hear some of those customers, but just wondering if you're more levered to the share gainers versus the share takers. Thanks.
Wallace Kou: We cannot comment on our NAND partner because we work with every NAND maker for specific project development. I think every NAND maker has a different strategy. They have different planning, they also have an R&D resource allocation. Some move more to HBM, some move more to a different category. So we cannot comment from time to time. However, we always want to be sure when they do outsourcing to third parties, Silicon Motion Technology Corporation is the best candidate there.
Operator: Thank you. Now we will take our next question from the line of Suji Desilva from ROTH Capital. Please ask your question, Suji.
Suji Desilva: Hi, Wallace. Hi, Jason. So just expounding on the 2025 guidance, the billion run rate exiting the year. What's a typical 2H versus 1H sort of split for a year, and this year sounds like it's more back-end loaded? Just trying to get a sense of maybe how much more back-end loaded this year is versus the typical year. Maybe you could touch on inventory and if the channel inventories are in good shape or whether you're starting to see any build there, that'd be helpful.
Jason Tsai: Yeah. Typically, for us, you're looking at roughly kind of a 45-55 split between first half and second half. It's going to be much more second-half loaded this year compared to kind of previous or normalized years. From an inventory basis, you know, we don't see really a whole lot of excess. We see our customers ordering roughly in line with end market demand. So we think channel inventory remains healthy, and we don't see that as an issue as demand ramps up.
Suji Desilva: Okay. Great. Thanks, Jason. And then maybe a longer-term strategic question. On the diversification strategy, the multiyear plan here, maybe Wallace or Jason, you give us a framework of what areas you've been in, areas you've divested, you've acquired in the past. What areas would make sense from a strategic perspective? Any color there would be helpful.
Wallace Kou: So I think we focus now on mixed-signal design and also the related enterprise because we see the storage and connectivity, they are very closely coupled. Certain areas, I think we can share internal technology and now as well as we try to acquire some new, some important technology we don't have in-house. We came to join development. We might acquire if the property to do so. So this is the area we're seeing that's all around the enterprise area.
Suji Desilva: Okay. Thanks, Wallace. Thanks, Jason.
Operator: Thank you. As a reminder, to ask a question, please press star one one on your telephone. Our next question comes from the line of Matt Bryson from Wedbush. Please ask your question, Matt.
Matt Bryson: Thank you. Just starting off with one more on 2025. I know it's back-half loaded. But, typically, you tend to see seasonality. We pick up in Q2, Q3, Q4. We assume that Q1 should represent a bottom in terms of revenue for the year.
Jason Tsai: Yeah. Yeah. We certainly believe so. Q2, we do expect to see sequential growth throughout the year, and obviously, that's Q1, Q2.
Matt Bryson: And then I guess my second question is about future M&A strategy if there happens to be an M&A. I guess the question would be, can you give us any idea of what you would be looking for in terms of kind of necessary metrics around returns or opportunity to pull the trigger on M&A versus it seems like Silicon Motion Technology Corporation has so many opportunities moving forward and is so undervalued. I guess, wouldn't it seem that you have a pretty high bar to go out and acquire a company versus buying back your own stock given where the valuation is today, I guess. And I just want some comfort that M&A in the past hasn't necessarily quite worked out as well as you'd hoped it. We might not see another Shannon, for instance.
Wallace Kou: I think our M&A is focused on core technology and focus on core business to grow. So this is not something where we want to buy the company to grow the revenue. We really want to build around the enterprise SSD because we are starting to win design with our major customers. We also found out there are several key components around, and then we are able to also have similar products. But we are lacking some key elements. And so this is an area we evaluate whether we're able to win and grow faster in the market is big enough, and we have a value to do so. So this is M&A. We have been more strategic to expand our core technology and key product, and we do have end customers who need it, and we will move in that direction.
Jason Tsai: And also keep in mind, Matt, as I said, our capital allocation strategy is three-pronged. Right? Dividend will still continue to be the primary part of that. And then, you know, the dividend, the share repurchase is something that we have done from time to time, and the press release yesterday certainly being one of those times.
Matt Bryson: Got it. So it sounds like, though, if you step forward with acquisitions, you'll have certainty in some sense around there's this additional opportunity, and this is the right way to go versus partnering or building internally. And so, you know, you'll see the ROI will be relatively clear to us in the investment community when you do, assuming you move in that direction.
Jason Tsai: Yeah. And I would say that, you know, look, we're always evaluating the best ways in which we can use a large amount of cash that we generate to generate shareholder value. Right? Acquiring complementary technologies and businesses that offer additional growth or technologies that Wallace pointed out to our existing products has always been part of our strategy, and we'll also be looking at it if there are right targets, but nothing imminent, nothing particularly specific right now. It's obviously something that we continue to evaluate. But in the meantime, you know, the dividend and time-to-time repurchases are going to be the primary ways of returning capital to shareholders.
Matt Bryson: Awesome. And I just have one more. So great to hear that you guys signed four new customers versus the two you promised on Mount Titan exiting Q4. I guess you were also talking previously about Mount Titan being 10% of revenue roughly in 2027. I guess, what would you need to see to be able to lift that metric given it does sound like things are moving really well there.
Jason Tsai: Yeah. Look. I mean, we're still early in the process here. Right? I mean, we're beginning to scale. We started shipping last quarter. We're obviously very optimistic about the wins that we have and the interest that we've generated until we start seeing this scale more meaningfully. You know, we'll stick with the 10% target in 2027 for now. And as we have more data points, to Wallace's point, we can scale that faster and larger, and we have the data points to support that. We'll obviously want to bring that to your attention sooner rather than later when that's available.
Matt Bryson: Awesome. Thanks again.
Jason Tsai: Thank you.
Operator: Thank you. I am showing no further questions. I'll now turn the conference back to Mr. Wallace Kou for closing comments.
Wallace Kou: Thank you, everyone, for joining us today and for your continued interest in Silicon Motion Technology Corporation. We will be attending several investor conferences over the next few months. The schedule of these events will be posted on the investor relations section of our corporate website, and we look forward to speaking with you at these events. Thank you, everyone, for joining us today. Bye-bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.